Operator: Good morning. Welcome to the Cedar Shopping Centers Incorporated third quarter 2008 earnings conference call. (Operator instructions) It's now my pleasure to turn the floor over to your host, Mr. Brad Cowen [ph]. Please go ahead.
Brad Cowen: Thank you, operator, and good morning everyone. At this time, management would like me to inform you that certain statements made during this conference call, which are not historical facts, may be deemed forward-looking statements within the meaning of Section 27A of the Securities Exchange Act of 1933 and Section 21E of the Securities Exchange Act of 1934 as amended by the Private Securities Litigation Reform Act of 1995. Although the company believes that expectations reflected in any forward-looking statements are based upon reasonable assumptions they are subject to various risks and uncertainties, the company can provide no assurance that expectations will be achieved and actual results may vary. Many of the factors and risks that could cause actual results to differ materially from expectations are detailed in yesterday's press release and from time-to-time in the company's filings with the SEC. The company undertakes no obligation to advise or update any forward-looking statements reflected in or circumstances after the date of the company's release. It is my pleasure now to turn the call over to Mr. Leo Ullman, Chairman, CEO and President. Leo?
Leo Ullman: Thank you Brad. We continue the value of efforts of ICR and especially your disclaimers. Good morning and thank you all for joining us on today’s earnings call for the third quarter of 2008. With me today on the call are Larry Kreider, our CFO and Brenda Walker, our Vice President of Operations. Also available to us by telephone are Tom Richey, our Vice President of Development and Construction; Nancy Mozzachio, our Vice President of Leasing; Mike Winters, our Vice President of Acquisitions and a number of other members of our management team. We’re proud to note that despite the turmoil in the securities markets and in the U.S. economy generally our company continues to perform well as reported in our earnings release last night. Our trade marked moniker [ph] bread and butter shopping centers represents the essence of our story and our business. In today’s call I would like to focus on three aspects of our approach, which are intended to convey the solidity and risk aversion that hallmarks our operations, our development activities, and our financial structure. First, with respect to our operations. We are pleased to note that occupancy for our stabilized properties portfolio remains at a solid 96%. This is effectively full occupancy. The feature of our portfolio which differentiates our company from most other retail REITs is our overwhelming focus on supermarkets and to a lesser extent, drugstores as anchors of our portfolio. In fact supermarkets and drugstores anchor come than 75% of our properties. In turn, necessities retailing represents most of our more than 12 million square feet of total gross leasable area. Our average market and drugstore lease has approximately 11 years of remaining term. Our grocers constituting more than a dozen chains active in the New England and coastal Mid-Atlantic states are doing well and several have reportedly experienced some of the best quarterly results in their history. It is important to note the depths of actual and potential tenants for supermarket anchored spaces in our portfolio. We are not limited to one or two stores in the supermarket category as might be the case for many other bigger box retailing categories. Rather we have many supermarket chains who are strong operators and excellent tenants seeking additional sites. They include for example, Stop & Shop, Shaw's, Price Chopper, Redners, Giant of Carlisle, Pennsylvania, Hannaford, Weis, Shop Rite, Acme, Pathmark, Super Value [ph], Farm Fresh, Ukrop's, Food Lion, (inaudible) and others. Our portfolio features some of the most outstanding examples of excellent supermarkets ranging up to 98,000 square feet plus mezzanine space with many innovative and special features such as Wi-Fi areas, babysitting, cooking schools, cool rooms with valet service for storage of groceries, community rooms, bakeries, pizza ovens, Chinese take out, dry cleaning, banks, pharmacies, et cetera, et cetera. Many of our tenants are expanding their existing stores to new larger prototypes and pushing us to help them find new sites. While our supermarkets are generally doing well and have attracted additional traffic to their respective shopping centers our ancillary tenants are performing relatively well in general. We have lost few tenants including so-called mom and pops to date. Yet we are not myopic. We maintain a very careful watch list and we do a great deal of due diligence for any new non-national or non-regional tenant. Going forward we expect some adverse additional tenant experience for ancillary retail space, especially in our drugstore anchored properties. We could have some challenges to some local fitness facility operators, local dollar stores, restaurants, or an occasional video store franchise for example. By contrast, we suspect that for every potential pizza parlor in difficulty there are four others waiting to take their place. Again, we have experienced no serious vacancy slippage to date and as indicated our overall occupancy remains remarkably high. We have ramped down our acquisitions enormously to the point where this year we have acquired only 4 properties with an aggregate value of $42.5 million dollars plus the approximate 70% joint venture interests in 4 properties, which we purchased from Kimco, for which we paid approximately $17.5 million. Going forward we would expect to limit any acquisitions to primarily joint venture acquisitions of high quality supermarket anchored properties in the Northeast where we would expect to achieve, based primarily on assumption of existing attractive debt with substantial remaining term a leveraged return of at least 10%. The second of our business that reflects our risk aversion is our development pipeline. Here too we have a unique focus which we believe to be quite different from that of many of our peers. First of all, we almost never a property without having a signed lease with a supermarket as anchor or occasionally for a smaller property a drug store as anchor. In each case the anchors generally represent more than 50% of leasable area of the property. Further for all of our development and construction of supermarkets we bill to a fixed price meaning that together with the construction department of our supermarket anchors we arrive at an agreed cost for the particular supermarket build out and anything above that cost is borne by the tenant as additional rent. Correspondingly, if we achieve a cost of less than that, which we budgeted, the tenant obtains the benefit. It is interesting to note that in this market we have been able to achieve substantial savings on construction costs for site work, for example, where competition with former homebuilders has resulted in considerable savings against budgeted amounts, which in turn often represent 20% to 25% of the total cost of a center. We recently announced the development pipeline of approximately $276 million for which we have to date spent approximately $141 million. We generally develop properties to 9% to 11% cash yield on cost and we expect upon stabilization to be able to place permanent financing on such properties with an overall cash on cash yield comfortably in the mid-to-upper teens. We expect the announced development pipeline to add meaningfully to our FFO and AFFO in 2010 and subsequent years. We also expect to be able to find additional development opportunities during the coming years on properties that are substantially entitled and preleased like our (inaudible), Strasburg [ph], and Limerick [ph] properties listed on our published pipeline status report. Where we can enter into joint ventures with smaller developers who may be challenged by current credit constraints permitting us to structure an investment generating priority return of 9.25% of 9.5% on our invested funds coupled with a 60% or greater backend ownership interest. We hope to be able to find these types of opportunities as we continue to move further east geographically from our historic development base in south central and eastern Pennsylvania. In this market, we believe the development activities will continue to be important and largely undiminished because of a focus on the supermarket tenancies which remain strong. Finally, the third risk averse focus of our corporate existence and of our property portfolio is our conservative approach to our balance sheet and our finances generally. As previously reported and as will be further discussed by Larry we have recently been able to complete a $150 million credit facility for our development properties. Together with a $77.7 million property specific syndicated construction loan for our Upland Square joint venture, a $15 million fixed rate loan for our Port Richmond, Philadelphia, property and a $21 million floating rate 3-year loan for our Shore Mall potential redevelopment property. Further not only have we refinanced every fixed rate loan due this year but we have only approximately $1.5 million coming due next year in fixed rate loans and approximately $8 million due the following year. Our overall fixed rate debt has an average maturity of 6.3 years at an average interest rate of 5.7%. Our credit facility for our stabilized properties has extended, will mature in 2010 and Larry will further discuss these arrangements. In short we have been careful to avoid undue risk with respect to all three of these areas representing our portfolio and our company, which we believe should position us well for the coming years. With that for further focus on our financials, I would like to turn the mike over to Larry, our CFO. Larry?
Larry Kreider: Our results in the third quarter demonstrate the stability of our operations and customer base in the present volatile economic and capital markets environment. Our FFO was $0.31 per diluted share equal to the third quarter of 2007 and the second quarter of 2008. The results featured only a few variances of note when compared to second quarter of 2008. These included higher G&A and operating expenses by $0.01 per share due to non-cash deferred compensation mark-to-market expense in the third quarter, seasonally higher percentage rent by approximately $0.01 per share, and offsetting nonrecurring adjustments of less than $0.01 per share each for insurance proceeds and operating expense reimbursements. Our occupancies remain strong in the third quarter of 2008 reflecting our stable grocery and drug store anchored portfolio. We continue to have 96% stabilized portfolio occupancy and 92% total occupancy at September 30, 2008, consistent with quarter end at June 30, 2008. As reported in our supplemental package, we had modest levels of leasing activity as a result of these high stable occupancy levels. With regard to operating expenses, we collected approximately 75% of our common area maintenance and real estate tax expense excluding principally non billable bad debt and compensation expenses in the third quarter of 2008 as compared to 79% in the second quarter of 2008. The primary reasons for the sequential dip in recovery margin are the higher non-billable deferred compensation mark-to-market expense charged to operations and a higher level of nonrecurring settlements with tenants at certain of our properties and our bad debt expense was approximately 1% of revenues, our present targeted level and modestly improved from the second quarter. With respect to same property results we held 105 properties during both the third quarters of 2008 and 2007. Same property net operating income was $27.5 million in the third quarter of 2008 as compared to $27.9 million in the third quarter of 2007. The overall decrease of $384,000 reflects principally the leveling of expense recoveries in bad debt expense from the very favorable levels achieved in the third quarter of 2007 when the company obtained the first substantial benefit of billing systems improvements installed in 2006 and 2007. In the third quarter of 2007, the company recovered 77% of operating expenses excluding non-billable bad debt expense as compared to 74% in the third quarter of 2008. And in the third quarter of 2007 the company’s bad debt expense was two-tenths of 1% of total revenues as compared to a more sustainable nine-tenths of 1% for total revenues in the third quarter of 2008. Additionally base events while higher by eight-tenths of 1% in the third quarter of 2008 as compared to 2007 were negatively impacted as last quarter by the termination of a lease in the fourth quarter of 2007 that the company expects to replace in more favorable terms in 2009. We continued to position Cedar’s balance sheet well to weather the current economic turmoil and to provide the flexibility and liquidity we need to execute our business plan. At September 30, we had approximately $71.1 million of borrowing capacity available under our revolving credit facilities plus $6 million in cash. We implemented a new cash management system in the third quarter reducing our cash balances by approximately $13 million and correspondingly reducing our principle secured lines of credit. We have made good progress on our financing activities. In June 2008, we completed a $150 bank line of credit to fund our development activities and at September 2008 we also completed a $77.7 million property specific development financing to fund a $100 million joint venture project located in Pottsgrove, Pennsylvania. Today we have borrowed $61 million on these lines of credit. In July, we completed the mortgage financing of our Port Richmond property for $15 million and in August we refinanced for $21 million our mortgage at our Shore Mall property. Next week, we plan to exercise our option to extend our stabilized revolving credit facility through January 2010 and in early 2009 we will begin our discussions to renew this line of credit when it comes due in January 2010. Overall, we believe we have maintained good working relationships with our finance providers and at this point we see no reason why we cannot get this line refinanced. Of course, we’re very cognizant of the very volatile financial markets and there may be some pressure on interest rates and spreads among other matters. Overall, the financing activities we have completed to date represent substantially all of our financing activities for 2008 and provide the funds we believe we need to complete the development activities in our present pipeline. As of September 30, 2008 our PRO RATA share of debt was $862.3 million, which amounted to 55.4% of our total market capitalization of approximately $1.56 billion. The PRO RATA share a floating-rate debt amounted to approximately 20% of total market capitalization. With regard to other financial metrics, our EBITDA to fixed charge coverage ratio for the quarter ended September 30, 2008, remains consistent with the prior several quarters at approximately 2.2 to 1. Our net cash flow provided by operating activities for the quarter ended September 30, 2008, was $10.9 million as compared to $11.9 million for the quarter ended 2007 and $16.1 million for the quarter ended June 30, 2008. The third quarter of each year contains substantial payments of annual insurance and real estate tax builds. On a year-to-date basis through September 30 our net cash flow from operating activities was $39.2 million in 2008 as compared to $36.8 million in 2007. As previously announced, the company expects to report FFO of $1.22 to $1.26 per share OP unit for the full-year 2008. The company’s guidance excludes any impact on FFO from new or future development or redevelopment activities, new acquisitions or dispositions or new joint venture arrangements of existing properties or any further mark-to-market adjustments on its deferred compensation restricted stock liabilities. The adjustments to deferred compensation incidentally have generated an expense of approximately $400,000 in the nine months ended September 30, 2008. Lastly, based on an expected an December 2008 contribution of properties to a second joint venture with Homburg Invest Inc, the company could incur a net reduction in FFO up to $0.01 per share in the fourth quarter. I would now like to turn the call back to Leo for question-and-answer and closing remarks.
Leo Ullman: Thank you, Larry. Our message remains constant. We are bread and butter necessities based shopping center REIT in the three principal areas which I discussed to wit our stabilized portfolio, our development activities, and our financial structure we remain carefully and thoughtfully risk averse. We will continue to husband our resources and we will continue to be able to fund our strong and profitable development pipeline. We believe that with our strong management team, we will effectively continue to execute our business plan and to enhance shareholder value even in these uncertain times. Operator, we would gladly take any questions from the listeners.
Operator: (Operator instructions) We will go to Paul Adornato with BMO Capital Markets.
Paul Adornato – BMO Capital Markets: Hi, good morning.
Leo Ullman: Good morning Paul.
Paul Adornato – BMO Capital Markets: Leo could you comment on your outlook for the dividend and what the dividend policy might be, (inaudible) it is a board decision but perhaps you could provide a little bit of insight on your thoughts of course, given the current market environment and stock price.
Leo Ullman: Okay. It is as you said a board decision. We have had no indications that there would be any change in our dividend policy at this point. We cover our dividend and we think that our dividend will continue to be paid going forward. We have no thoughts of reducing our dividend and no present thoughts of increasing our dividend. We would probably contemplate of looking at the dividend again as and when our development pipelines starts to hit our numbers in 2010. But I think at this point it is fair to say that that we do not contemplate any change in our dividend policy.
Paul Adornato – BMO Capital Markets: Okay, and how about just from a conservation of capital perspective, would that make sense to you perhaps reduce the dividend to help fund the development pipeline.
Leo Ullman: Paul, we consider all of these types of things. Right now we’re comfortably positioned to carry out our complete development pipeline without trying to access additional monies or equity. We pay out a dividend that is a bit higher than our required payout under the REIT rules. So there could conceivably be some margin but we don’t think that under the present circumstances the savings of $10 million to $20 million a year perhaps in dividend savings are worth the grief to our shareholders. At this point, again we don’t need the money and we are – we think comfortably positioned so that we’re not contemplating any change in our dividend.
Paul Adornato – BMO Capital Markets: Okay thank you.
Operator: The next question will come from Christine McElroy with Banc of America.
Rob Salsbery – Banc of America:
Leo Ullman: Just thought your voice had gotten a bit lower Christy.
Rob Salsbery – Banc of America: Just had a quick question on the same-store NOI growth. I think in previous quarters you guys had a negative impact from redevelopment activity. Was that an issue this quarter and you know, as we kind of think kind of going through the next few quarters is that going to continue to be a drag on earnings and I think you guys mentioned that there’ll be an FFO contribution starting in 2010 from redevelopments. Did I hear that right?
Leo Ullman: Yes. We think the development activity would start generating positive results in late 2009 and 2010. And with respect to the same store I guess the reasons that I gave you were that in my talk related to just the very favorable experience we had last year and the same store activity with respect to redevelopment was modestly impacted, but it – we actually took that one property, which was a single tenant property out of the same store computation because it is now a complete redevelopment activity with no additional tenants. It is just bare land.
Rob Salsbery – Banc of America: Okay, that makes sense. And then just on the G&A number, could you give me an idea of where you guys think that will be sort of going forward for the next few quarters?
Leo Ullman: Well apart from the effect of mark-to-market that we had in there, I think it would be about the same level. We don’t see any change. There are no other variances in there other than that mark-to-market, which by the way I could say would amount for every dollar of change in our stock price we will have about $240,000 swing in our stock price, I am sorry, in the cost.
Rob Salsbery – Banc of America: All right, so just unclear on that. If I take out the 400 K impact this quarter then I’m left with sort of a good run rate going forward. Is that right?
Leo Ullman: I think it is a little less than the 400 K because part of it is in operations as well so it would be about I think 250.
Rob Salsbery – Banc of America: 250, okay, that is great. Thanks. And then I guess just one more question. As we kind of think about the credit facility that is maturing in January that you guys are – it sounds like you are planning on extending it. Can you just sort of walk us through if there are any contingencies in terms of exercising the extension and if there is any sort of spread change outside of kind of what is going on in the markets, anything in the contracts that maybe we should probably know about before you start the discussions.
Leo Ullman:
Larry Kreider: That letter has been drafted and it is just sitting there waiting for us to push it out.
Leo Ullman: And November 2nd is the first date that we could do it according to the terms.
Rob Salsbery – Banc of America: Okay, great. That is it from me. Thanks guys.
Leo Ullman: Thank you.
Operator: Next is Stifel Nicolaus’ Nathan Isbee.
Nathan Isbee – Stifel Nicolaus: Hi, good morning.
Leo Ullman: Good morning, Nath.
Nathan Isbee – Stifel Nicolaus: Larry can you just update, what was the LIBOR rate your guidance assumes.
Larry Kreider: It was around – I think it was ultimately around 3.5%.
Nathan Isbee – Stifel Nicolaus: So, you have kept that constant.
Leo Ullman: We have, yes, and it has clearly come back up.
Nathan Isbee – Stifel Nicolaus: Okay, can you give a little detail on the – I see in the wholly owned portfolio occupancy decline of 100 basis points quarter-over-quarter?
Leo Ullman: Mean overall including development properties.
Nathan Isbee – Stifel Nicolaus: No, I think stabilized.
Leo Ullman: Stabilized it is 96.
Nathan Isbee – Stifel Nicolaus: Wholly owned went from 96 to 95.
Leo Ullman: Could you give us a second.
Nathan Isbee – Stifel Nicolaus: Sure.
Leo Ullman:
Nathan Isbee – Stifel Nicolaus: Okay, thanks and one last question. Leo you were talking about few areas in your portfolio that local (inaudible) operators to name one, that if you did that you felt you could see some weakness. Can you quantify how much of your minimum rent does that group consist of?
Leo Ullman: Let me take a look. It is – well, in terms of our watch list, we have identified that as being one area that could conceivably have some effect. At this moment in terms of total square footage we’re looking at six properties with about 76,000 square feet total, out of our total of 12 million. So on average there are six privately owned or franchised entertainment gym concepts in our entire portfolio averaging about 12,500 square feet each.
Nathan Isbee – Stifel Nicolaus: Okay and you had mentioned a few other areas, I don’t remember specific right now?
Leo Ullman: Well, again Nath none of them are significant. The areas that we have on our watch list or some franchisees here and there, some independent dollars stores that may be just one or two of those couple of pizza parlors, couple of hair and nail salons, and the total of those is probably 40 specific stores that we’re looking at carefully with a total of perhaps 175,000 square feet.
Nathan Isbee – Stifel Nicolaus: Okay thank you. I just wanted to try to quantify that. Thank you very much.
Leo Ullman: Okay.
Operator: (Operator instructions) We will hear next from Michael Bilerman with Citigroup.
Quentin Velleley – Citigroup: Good morning guys. This is Quentin Velleley here with Michael. First question is just in relation to your shadow development pipeline and given your high cost of capital and a potential to joint venture with other developers have you increased the return requirement on your shallow pipeline and have you pushed the timing interval?
Leo Ullman: I am a little confused by your reference to the shadow pipeline.
Quentin Velleley – Citigroup: I just mean the four projects that aren’t included in your development schedule.
Leo Ullman: Okay, the projects that are not included include the Shore Mall; Trexlertown; the Route property, the IRS building; and I guess what is the fourth? The Faxon Lumber Site. Those are not included because they are too many moving puzzle pieces. It is a not a question of delay. It is a question for example in the Shore Mall area, we have had Value City leave its premises and that is a 135,000 square feet plus or minus and that space has been taken over by Burlington Coat, though we don’t know at this point if any fact Burlington Coat from move from their existing site which has considerable remaining lease term to the Value City site. And correspondingly Boscov's has declared bankruptcy. We are extremely confident that that store will stay in operation and if not we think it would be a tremendous benefit to us potentially. That piece of the puzzle is also not yet clear. And those are two very large tenants; Boscov's has about 170,000 square feet. So, those two alone represent an unclear category of 300,000 square feet. Also we are talking to our neighbor who owns the Frank’s Theater and associated properties there. We are talking to the governmental authorities to changing the exit ramp from the Garden State Parkway. So, there are just a great deal of things that will affect that property. With respect to Trexlertown, we have experienced something that may have some effect, and this for that property Target is not yet committed and may not yet be committed for a period of time. So, in the meantime we expect to be going forward with our large giant store prototype there. And we have to still acquire a portion of a trailer park and move those residents et cetera. So, there are factors affecting that property. The (inaudible) site we are extending our opportunity to take down that site until we deal with some access issues and some core of engineers problems with respect to a water situation on one side of that property. The site in Roosevelt Boulevard in Philadelphia we are waiting for the IRS to vacate that building, which probably – which at the earliest would occur in 2010. So, there is – there are just too many moving pieces for us to further quantify those properties. It is not a delay attributable to anything other than those moving puzzle pieces.
Quentin Velleley – Citigroup: Okay, thanks for that. And just one with the developer joint ventures that you are looking in what sort of quantum of capital are you looking at investing in today’s projects potentially?
Leo Ullman: Well on the joint venture properties that we have announced, we have already funded approximately $30 million for the Pottsgrove property. That joint venture we are fully funded with our equity portion. For the property at the joint venture property in Strasburg. That is a $35 million property with a loan of approximately $27 million. We have funded part of that $8 million but not all at this point. I am sorry.
Larry Kreider: We funded $21 million of the Strasburg.
Quentin Velleley – Citigroup: Okay.
Leo Ullman: Hold on one second. That number – I am sorry. I think we funded less than that. We funded about $9.5 million for Strasburg.
Quentin Velleley – Citigroup: I was sort of like looking for what you might be investing in some new projects that you haven’t disclosed yet like over 2009, what sort of quantum of capital you might be looking at deploying?
Leo Ullman: I think on the equity side very modest amounts at this point. We are talking $4 million to $5 million the Heritage Crossing on a net basis. We will fund $8 million at the outset but we expect to get that back from the loan. And we expect to fund some amounts for North Side Commons, the Campbelltown property. I’m going to say on an overall basis we’re probably looking at funding $20 million, $25 million something in that range on the development sites on an equity basis maximum.
Quentin Velleley – Citigroup:
Leo Ullman: Well in theory what could go wrong is that they wouldn’t close. And we have no indication that it won’t close but the theory is that that it conceivably could not close, in which case we would go to plan Business, which is basically to look for some other joint venture activities. But right now we’re looking to that closing and if it does close again we’re still going to be okay.
Quentin Velleley – Citigroup: That is great. Thanks a lot.
Leo Ullman: Thank you.
Operator: The next question will come from Philip Marber with Cantor Fitzgerald.
Philip Marber – Cantor Fitzgerald: Good morning gentlemen.
Leo Ullman: Good morning.
Larry Kreider: Good morning Philip.
Philip Marber – Cantor Fitzgerald: Just a question or I guess the first question I have. On your top 5 to 10 tenants, can you just give us an update as to the financial condition of those tenants and number two, you know, how it has improved or not improved? And number two, how are these tenants looking to take advantage of the economic situation that we are in at this point?
Leo Ullman: Okay, well our largest single tenant or combined single tenant is Giant of Carlisle, Pennsylvania, together with Stop & Shop, both affiliates of our Ahold. Ahold recently announced its results a few days ago, which were very strong and very good. Within those results, they reported that Stop & Shop had same-store sales growth of 3.8% excluding fuels and that Giant of Carlisle had same-store sales growth excluding fuels of 5.4%. Those are pretty good results for supermarkets, and it is reflected we think in their push to us to help them find and create up to 6 to 10 new net stores in a year. So, we think they are very powerful. On the grocer side, generally, we think many of the grocers have reported as good a result for the past quarter as they have ever had. So, on that portion of our largest tenants, we feel pretty comfortable. With respect to discount drug mart, they appear to still be doing well and we see a problem only at this moment in one of their stores where there is substantial construction limiting access but for that the drugs store seem to be doing well. Farm Fresh that is the super value concept, they are primarily in the Chesapeake area of Virginia and they seem to be continuing to do well. Our Shaw's stores are doing well, even though Shaw's in general may not have experienced as strong results as Giant but in our centers they continue to do well. And I think that is about it.
Philip Marber – Cantor Fitzgerald: And when you, and looking at it just even slightly different – differently, when you look at your stores, let us say in Pennsylvania, or Massachusetts, when you look at your concentration of grocery stores, the average sales per foot of your grocery stores, how does that compare to the individual market. I am assuming that your stores perform better than average for the market but by how much would you say or do you know?
Leo Ullman: Well, we could make some educated guesses. In the south, south middle and Eastern area of Pennsylvania in that nine county area around Harrisburg that is dominated by Giant of Carlisle, their average store sales for our portfolio are well over $600 a foot. That is very high for supermarkets generally and it reflects the fact that they are an excellent operator. Correspondingly, many grocers will do well with a lesser sales per square foot figure. It depends on the so called health ratio and the health ratio for our grocers are generally comfortable in the 3% or less area in terms of their costs of tenancy versus their gross sales. I should note that we have, for example, with Giant. And with Giant we have 24 stores. They are the number one supermarket in their particular area. In 32 of our 45 areas we are the number one or number two grocer. So, I think all of them represent pretty good sales in their respective markets.
Philip Marber – Cantor Fitzgerald: Okay, and Larry just one question. In your discussions with banks on refinancing or even financing new developments et cetera, where do they stand, specifically with your products, I mean it is largely grocery anchored shopping center, but where do they stand on cap rate? You know, when they refinance one of your properties, what cap rate are they assuming that refinancing?
Leo Ullman: Well, at this point we actually expect 8% when we refinance, or when we entered into these new construction financing arrangements I would point out that they relied upon the overall corporate metrics from our stabilized line of credit and they referred back to that and that uses 8% as well. So, at this point that appears to be the metric that I am aware of. Philip. Did we lose you Philip or – operator?
Operator:
.:
Rj Milligan – Raymond James: Good morning guys.
Leo Ullman: Good morning.
Larry Kreider: Good morning.
Rj Milligan – Raymond James: Can you guys give a little bit more detail on some of your larger markets and what trends you may be seeing within that? By state Pennsylvania, Massachusetts can I get?
Leo Ullman:
Rj Milligan – Raymond James: And with regards to the rollover, the lease rollover next year, is there any concentration by market there or is that something you are not concerned about.
Leo Ullman: Our lease rollover for next year is approximately at 5% of our 2009, it is just roughly – well that is 2010. We are 10% for 2009 more or less. I can’t tell you at this moment where the concentration is. We know that it is a little bit less than 2 million square feet. – I am sorry it is little less than, it is approximately 10 million square feet, it is $10 million worth – I just can’t tell you more specifically what areas it would be with that. I could certainly get back to you on that.
Rj Milligan – Raymond James: Okay, that sounds great. Thanks guys.
Operator: And we will take a follow up question from Nathan Isbee with Stifel Nicolaus.
Nathan Isbee – Stifel Nicolaus: I though I had logged out, sorry.
Leo Ullman: Does that mean you have no further questions today?
Nathan Isbee – Stifel Nicolaus: No questions I guess.
Operator: And we have a question from Macleod [ph] with Cantor Fitzgerald.
Macleod – Cantor Fitzgerald: Hi, I am here with Philip.
Leo Ullman: Good morning.
Macleod – Cantor Fitzgerald: I had a question on the markets. Have any of the markets in general surprised you either to the upside or downside. in any of the markets are just outperforming or underperforming that you weren’t expecting given the economy?
Leo Ullman: I think we have had no real surprises. At this point, as we indicated our grocers are performing well, our other tenants are doing pretty darn well. We think that in Ohio things may not be going as well as they used to, but nothing in the way of enormous surprises.
Macleod – Cantor Fitzgerald: Okay, thank you.
Operator: There are no further questions at this time. Mr. Ullman I will turn the call back to you for closing remarks.
Leo Ullman: Well operator, I think we are prepared to just thank everybody for being on the call. To remember the 3 aspects of our business that we think that are so extremely risk averse including our developments, our existing portfolio, and our finances. We think we are very well positioned in this market and we look forward to continuing to work for the benefit of our shareholders. Thank you very much.
Operator: Thank you. That does conclude today’s conference call. We do appreciate your participation. Have a great day.